Operator: Greetings everyone. Welcome to Century Communities' Second Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. At this time, I would now like to turn the floor over to Tyler Langton, Senior Vice President of Investor Relations of Century Communities. Sir, you may begin.
Tyler Langton: Good afternoon. Thank you for joining us today for Century Communities' earnings conference call for the second quarter of 2024. Before the call begins, I would like to remind everyone that certain statements made during this call may constitute forward-looking statements. These statements are based on management's current expectations and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. Certain of these risks and uncertainties can be found under the heading Risk Factors in the company's latest 10-K, as supplemented by our latest 10-Q, and other SEC filings. We undertake no duty to update our forward-looking statements. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The company's presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Hosting the call today are Dale Francescon, Chairman and Co-Chief Executive Officer; Rob Francescon, Co-Chief Executive Officer and President; and Scott Dixon, Chief Financial Officer. Following today's prepared remarks, we'll open the line up for questions. With that, I'll turn the call over to Dale.
Dale Francescon: Thank you, Tyler, and good afternoon, everyone. First, I want to congratulate Scott on his well-deserved promotion to Chief Financial Officer. Scott has been with the company for over 10 years, serving most recently as the Interim Chief Financial Officer for the last four months, and that transition has been seamless. Prior to that, Scott was the assistant Chief Financial Officer responsible for overseeing Century's accounting and SEC reporting, financial planning and analysis, and directly managing the finance group. We are confident that Scott's strategic thinking and deep homebuilding knowledge will be a key component to help drive our future growth. Moving onto the quarter. We are very pleased with our results for the second quarter 2024, in which we generated strong year-over-year and sequential improvement in nearly all key metrics. Our deliveries of 2,617 homes increased by 17% year-over-year and 11% sequentially. Similarly, home sales revenues of $1 billion increased by 24% year-over-year and 10% sequentially. Our adjusted homebuilding gross margin of 24% increased by 300 basis points year-over-year and 120 basis points sequentially, and our adjusted earnings per diluted share of $2.65 increased by 66% year-over-year and 19% sequentially. Even with the volatility of mortgage rates during the quarter, we continued to see strong demand for affordable new homes. Our second quarter net new contracts of 2,780 increased by 20% year-over-year. We saw growth in all of our regions during the quarter, with the West and Texas posting the strongest gains at 59% and 30%, respectively, versus the prior year quarter. We also experienced an improvement in absorptions with our second quarter 2024 monthly absorption rate averaging 3.5 versus 3.3 in the prior year quarter. While we typically see a sequential decline in orders as the second quarter progresses and we enter the summer months, our net orders actually increased sequentially in both May and June as interest rates stabilized and started to decline from the highs we saw towards the end of April. So far in July, orders have stepped down from the June pace, but are running ahead of prior year levels. Our focus on affordability positions us well for future growth and continued success as we can target the widest range of potential homebuyers. Our average sales price of $389,000 in the quarter remains among the lowest of the publicly traded homebuilders. Nearly 100% of our homes were built on a spec basis in the second quarter, and this approach allows us to control our costs, maintain an appropriate supply of quick move in homes, provide our homebuyers with certainty of financing and meet the healthy demand that we are seeing in our markets. Before turning the call over to Rob, I wanted to highlight a recent milestone for Century. A little more than a month ago, on June 18, we marked our 10-year anniversary as a public homebuilder. Over the past decade, we have meaningfully grown the company and transformed Century into a builder with a national footprint through both organic growth and acquisitions. Since our IPO, we've increased our presence from two states and five markets to 18 states and over 45 markets. We delivered 1,046 homes for $352 million of home sales revenues in 2014 and expect our full year 2024 deliveries to see more than a tenfold increase over those levels. Similarly, over the last 10 years, we have grown our shareholders equity to $2.5 billion from $363 million and our book value per share to $78.68 from $16.93. Looking back at these achievements, we are filled with both an immense set of pride as well as gratitude to all the team members that made these accomplishments possible. Looking ahead, we are extremely excited about the strength and durability of the platform that has been built over the last 10 years. With a strong and seasoned team of homebuilding professionals, over 78,000 owned and controlled lots, and a geographic platform that ranges from coast to coast, over 18 states and 45-plus markets, we believe that Century is well-positioned to drive future growth at higher returns by deepening our share in existing markets and generating further operating efficiencies by leveraging that increasing scale. I'll now turn the call over to Rob to discuss our operations and land position in more detail.
Robert Francescon: Thank you, Dale, and good afternoon, everyone. As we've discussed in the past, interest rate buydowns continue to be the most important incentive for our customers given their ability to significantly lower monthly payments, a key focus for our entry level buyer. We were able to reduce our incentives on closed homes to approximately 600 basis points in the second quarter 2024 from roughly 700 basis points in the first quarter 2024. This decrease was driven by a reduction in incentives on new orders that took place in the first quarter when mortgage rates were lower. However, with the increase in mortgage rates that took place in the second quarter, our incentives on new orders increased in the second quarter, averaging roughly 700 basis points. Looking forward, our level of incentives on future sales will continue to be impacted by interest rates. In the second quarter, more than 90% of our deliveries were priced below FHA limits and over 60% of the mortgages closed by our captive mortgage company, inspire home loans were for FHA, USDA or VA loans that typically carry interest rates and down payment requirements that are below those of conventional mortgages and help make homes more affordable. The FICO scores of our homebuyers remain healthy and consistent with levels from the first quarter 2024 and full year 2023. We also had continued success in controlling our costs in the second quarter with our direct construction costs on the homes we started remaining relatively flat on a sequential basis, following the 2% quarter-over-quarter reduction in the first quarter of the year. We've been able to maintain these stable direct construction costs by both leveraging and expanding our trade and supply base across our national footprint. During the second quarter, we continue to see some incremental improvement in our cycle times, which remain in the four-to-five-month pre-COVID levels. On the land front, we ended the second quarter with approximately 78,000 owned and controlled lots, a 35% year-over-year increase. The higher lot count on a year-over-year basis was driven mainly by an increase in our controlled lots, which accounted for 58% of our total lots in the second quarter. Additionally, at the end of the second quarter, Texas and the Southeast accounted for close to 50% of our total lot count, up from 42% in the year ago period and reflective of our strategy to grow our presence in these attractive markets that are benefited from relative affordability, strong employment and population growth. Combined with Century Complete, these more affordable markets comprise over 70% of our owned and controlled land supply. Additionally, the strength of our relationships with third-party land developers across the Southeast, Texas and in all of Century Complete's markets further supports our traditional land-light strategy that is focused on acquiring finished lots. We've also been encouraged by the growth of our home starts and community count through the first half of this year, which will support future growth in our deliveries in the quarters ahead. In the second quarter, we started 3,867 homes, up from the 2,814 homes we started in the first quarter 2024, an increase of 37%. We ended the second quarter with a community count of 266, the highest level in our company's history and ahead of our initial plans as we were able to open new communities at a faster than expected pace in the quarter. Specifically, during the second quarter, we opened 50 new communities and closed 37. Our community count increased 14% versus year ago levels and 5% sequentially with the Southeast and Texas experiences the highest growth rates over both periods. Century Complete accounted for 43% of our community count at the end of the second quarter, while the Southeast and Texas accounted for 30%. Given our success in opening new communities through the first half of the year, we now expect our year-end 2024 community count to be in the range of 275 to 285. I'll now turn the call over to Scott to discuss our financial results in more detail.
Scott Dixon: Thank you, Rob. To start, I want to thank our Board of Directors for my promotion to Chief Financial Officer. As Dale mentioned, I joined Century over 10 years ago, have had the opportunity to be part of the company's strong growth over that time, and am excited to help drive Century's future success. Turning to the financials. During the second quarter of 2024, pretax income was $110.6 million and net income was $83.7 million, or $2.61 per diluted share, a 63% year-over-year increase. Adjusted net income was $85.2 million, or $2.65 per share, a 66% year-over-year increase. EBITDA for the quarter was $129.1 million and adjusted EBITDA was $130.6 million respective increases of 61% and 63% over year ago levels. Home sales revenues for the second quarter were $1 billion, up 24% versus the prior year quarter on both higher deliveries and average sales price, with our ASP increasing by 6% on a year-over-year basis. On a sequential basis, our average sales price of $388,800 in the second quarter decreased by less than 1% as Century Complete accounted for 37% of second quarter deliveries versus 33% in the first quarter 2024, with a partial offset from lower levels of incentives. Our deliveries of 2,617 increased by 17% versus the prior year period. We saw growth across all our regions with the West, Southeast and Century Complete all posting growth rates of over 20%. We are pleased with the strong growth that we have seen in our deliveries in the first half of the year and expect to see sequential growth in both the third and fourth quarters of 2024. At quarter end, our backlog of sold homes was 1,753, valued at $755 million with an average price of $430,500. While the average price of our second quarter backlog was above the average sales price of our second quarter deliveries, this difference was largely due to mix including the percentage of Century Complete homes and we continue to expect our average sales price for the full year 2024 deliveries to be approximately $390,000. In the second quarter, adjusted homebuilding gross margin percentage was 24% compared to 21% in the second quarter 2023. Homebuilding gross margins was 22.5% compared to 19.7% in the prior year quarter. Our adjusted gross margins in the second quarter also improved by approximately 120 basis points on a sequential basis, with the improvement largely driven by lower incentives on closed homes. SG&A as a percent of home sales revenue was 12.4% in the second quarter compared to 12.8% in the prior year quarter. For 2024, we expect our SG&A as a percent of home sales revenues to decline on a year-over-year basis as we grow our deliveries and keep our fixed levels of G&A relatively constant. In the second quarter, our tax rate was 24.3% compared to 25.2% in the prior year quarter. We expect our full year tax rate for 2024 to be in the range of 24.5% to 25%. Our net homebuilding debt to net capital ratio was 28.1% compared to first quarter 2024 levels of 24.9%. With our land and land development inventory remaining relatively flat quarter-over-quarter, this change was driven mainly by an increase in our homes under construction that will support a higher level of deliveries in the second half of 2024 as compared to the first half. During the quarter, we maintained our quarterly cash dividend of 26 per share -- $0.26 per share and repurchase 464,980 shares of our common stock for $37 million at an average share price of $79.61. We grew our book value per share to a record $78.68, a 13% year-over-year increase, and ended the quarter with $2.5 billion in stockholders equity. At June 30, to support our growth, we had $841 million in total liquidity. Additionally, we have no senior debt maturities until June of 2027, providing us ample flexibility with our leverage management. Subsequent to quarter end, our Board of Directors approved a new stock repurchase program allowing for the purchase of up to 4.5 million additional shares. Now turning to guidance. Given the strength that we have seen in our orders, deliveries and community count so far in 2024, we are increasing our guidance for our full year 2024 deliveries to be in the range of 10,700 to 11,300 homes and our home sales revenues to be in the range of $4.2 billion to $4.4 billion. In closing, demand for affordable new homes remains healthy, and we are encouraged by the strong performance through the first half of the year. We are successfully managing our costs and cycle times and will grow both our community count and deliveries on a year-over-year basis. With that, I'll open the line for questions. Operator?
Operator: Ladies and gentlemen, at this time we'll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Carl Reichardt from BTIG. Please go ahead with your question.
Carl Reichardt: Thanks. Hey, everybody. Hope you're doing well. First, just a clarification, Rob, on something you said. I may have written this down wrong, but you mentioned some incremental improvement, four to five months pre-COVID levels in your cycle times. I guess, I just wasn't sure what you meant by that. Maybe I can ask what are cycle times now? What were they at the worst of COVID and what were they pre-COVID?
Robert Francescon: At the worst of COVID, it fluctuated quite a bit due to material shortages and labor shortages. But when we look at pre-COVID, our build times, depending on product type can be sub 90 days to over 120 days, just again, depending on the particular house that we're building. So, what I would say with that comment is that we saw continuing tightening in our timeframes to complete homes during the second quarter. And we see that continuing going forward in the third and fourth quarter and beyond for right now, so that we are at a more of a normal run rate of what we had on a pre-COVID level. And that being said, again, from sequentially Q1 to Q2, we've tightened it up. And that's what I meant by that comment.
Carl Reichardt: Okay. Great. Thank you for that clarification. Okay. I want to ask a little about gross margins in the back half and third quarter in particular. So, we see some cross currents here, right? We've got some incentives picking back up in orders during this quarter. And I look at your backlog mix and it's skewing reasonably heavily as a percentage more towards the West where your pretax margins have been higher. There's some uncertainty about rates. Can you give me a rough sense of how you expect the margins to kind of lay out -- gross margin to lay out as you go through the next couple of quarters? It sounds like maybe next quarter tougher, fourth quarter better.
Scott Dixon: Yeah. Carl, this is Scott, and I'll take that one. I guess to address that the second part first, in terms of the mix on backlog ASP, as compared to how you look at what's been coming through actual deliveries. We experienced a little bit of a similar dynamic at the end of Q1, where just from a mix perspective, we were a little bit more heavily weighted to our higher priced region. So, as we look forward into the back half in terms of actual closings, we generally expect that mix to be pretty consistent with how it's come through year-to-date, which is actually included in our guide on the revenue side of really being somewhere around that 390,000 ASP level for the full year. And then on the margin side, I think you're correct that the largest variable here that we're looking at is going to be the impact on incentives, especially in the mortgage side, depending on how rates move on us. And we did see that tick up about 100 basis points on orders here during the second quarter, which obviously a large percentage of those which will flow through into closings in Q3. And to give you a little bit of color, kind of from the cost perspective as we sit and look at how the back half of the year will play itself out. We do have a little bit of land inflation coming through in Q3 and Q4. Really more on kind of that 5%, or call it, typical land inflation side, but we do believe that's offset with the DCC's that we're able to savings that we were able to capture earlier in the cycle coming through. So, from an all in cost side, it feels pretty stable. So the larger variable that we're looking at is really on the incentive side from a margin perspective, back half of the year.
Carl Reichardt: Okay. That's great. Thank you, Scott. Thanks a lot, guys. I appreciate it.
Scott Dixon: Absolutely.
Robert Francescon: Thanks, Carl.
Operator: Our next question comes from Alex Rygiel from B. Riley. Please go ahead with your question.
Alex Rygiel: Thank you, and very solid quarter, gentlemen. Dale and Rob, with this being an election year, coupled with possible rate actions by the Fed in September and later in the fourth quarter, how are you thinking about the back half just more broadly? Is this time to get aggressive? Is this a time when the consumer pulls back? Is there just too much uncertainty? Is the market sort of clearing up for you and visibility getting better or weaker? How do you broadly think about it?
Dale Francescon: We've really built our business to try to avoid dealing with those kind of items. We have our starts up. We were pleased to see interest rates starting to soften a little bit. But we're going to sell through our inventory. And it's -- when we look at that -- I mean, we're really focused on growing our business. And regardless of whether it's a election year or not, people are still making decisions on where they live and how they live, and we intend to supply that.
Alex Rygiel: And with the increase in the share buyback program, is that sending a signal that, I don't know, maybe you're incrementally more focused on returns and driving value back to shareholders, or there's no need to, or land costs have gotten too high and therefore you're reallocating capital back to share repurchases.
Dale Francescon: I wouldn't read anything more into it that our approach has always been to drive our returns up and return value to our shareholders in all manners. When we look at it, we put our last share repurchase plan in place in 2018. We're down to under 600,000 shares remaining on that. And our approach really hasn't changed. I mean, we're still focused on investing in the business. We will -- each year we'll buy back sufficient shares to keep everything static from a equity comp, stock issuance. And then beyond that, we'll be opportunistic, which is what we did in the second quarter. We saw that the stock had come under pressure. We were able to buy sub $80 a share, and as a result, we were in the market. And so that's really been our approach, and it continues to be our approach. We just want to make sure that we've got the availability under our plan, if we see the opportunistic buys to execute on them.
Alex Rygiel: Excellent. Thank you very much.
Dale Francescon: You're welcome.
Operator: Our next question comes from Jay McCanless from Wedbush. Please go ahead with your question.
Jay McCanless: Hey, thanks for taking my questions. So for the first one, can you remind us, when you guys buy a mortgage rate down for a customer, how does that get reflected on the income statement?
Scott Dixon: Yeah. Jay, this is Scott. So, the incentives that the homebuyer is paying, or, excuse me, the homebuilder is paying, end up as a reduction of home sales revenue.
Jay McCanless: So, it's a reduction to your ASP. Okay. The reason I ask is when we look at financial services, revenues were basically flat year-over-year. But profitability was down pretty meaningfully, and that's kind of the reverse of what we've seen from some of the other builders. So maybe talk us through what happened in financial services this quarter and what type of profitability we should be expecting in the back half of the year.
Scott Dixon: Yes, absolutely. So, it's a handful of things going on, on the financial services line item, and there certainly is a little bit of a depression in terms of the margin profile as compared to previous run rates. So, I'll start on the cost side for a second. There's some increased costs coming through just from personnel as well as some investment in that business to really get ahead of the growth, to ensure that we continue to capture the -- capture rate that we have been able to achieve such far this year as we look into the future. So., there's some investments on the cost side that are coming through this quarter. On the revenue side, a lower gain on sale is really the majority of the driver, as well as some fair value marks that went against us here this quarter. More broadly speaking, I would anticipate going forward into the back half of the year that the margin profile on the financial services would more mimic the Q2 as opposed to the Q1.
Jay McCanless: So then one other thing that on the first quarter call, I think at the time you guys said that gross margin going into 2Q should be flat sequentially with Q1. What change, I'm guessing, is the incentives you're talking about. The incentives came down because when you all did the first quarter call, that was right in the middle of where mortgage rates were going up. Was that the thinking at the time, that higher rates are going to continue to push up incentives?
Scott Dixon: Yeah. I mean, from a sequential standpoint, Q2 over Q1, from the margin perspective, we were benefited from orders during the first quarter having a lower incentive profile as rates were lower during the first quarter. And a lot of that did play itself through into closings during the second quarter.
Jay McCanless: And then the last thing I wanted to ask about, this time last year, and really most of second half '23, it was a pretty competitive environment, a lot of aggressive discounting, rate buydowns, et cetera. I guess, how is this summer shaping up compared to last year? And what type of incentives are you seeing your competitors offer, and are they stepping those up from what you were seeing this time last year?
Dale Francescon: It's always a competitive market regardless of what the environment is. And we, along with the other builders, are definitely doing what it takes. When we look at the growth in our company, a lot of it is probably coming at the detriment to some of the private builders that are having a harder and harder time competing with the larger homebuilders. In terms of discounting that we're doing, it's still mainly related to interest rate help for our homebuyers as opposed to heavily discounting the home price themselves. And when we look around at our various markets, that's pretty much what we're seeing our competitors doing as well. So, in terms of the discounting that we see in our market, it's primarily helping in terms of closing costs and interest rates as opposed to the large reductions in purchase price themselves.
Jay McCanless: And then the last one, and I'll pass it on. It seems like the growth in volume for orders and closings this quarter was mainly a function of community count growth, which is a good thing. But I was just wondering if now that you're on track to get the community count back up, when do you start trying to produce a couple more orders or a couple more closings per community, or is kind of this low threes level? Is that what we should expect probably through the balance of the year?
Dale Francescon: Well, I guess, a handful of things on that topic. I think from a seasonality perspective, I do think from a pace, generally speaking, the back half of the year is a little depressed as compared to the front half of the year. But from a pace perspective, Jay, we're seeing year-over-year increases in pace Q1 as well as Q2. And we anticipate from a pace perspective being year-over-year up by the time we get through the end of the year. So, from a focus perspective in terms of a target pace, certainly not a blanket pace that we're managing the business to much more of a buildup on a community by community side and where we can optimize the economics of each one of our stores.
Jay McCanless: Got it. Okay. Thanks for taking my question.
Dale Francescon: Absolutely. Thank you.
Operator: Our next question comes from Alan Ratner from Zelman & Associates. Please go ahead with your question.
Alan Ratner: Hey, guys. Good afternoon. Nice quarter and congrats to Scott on the promotion.
Scott Dixon: Thank you.
Alan Ratner: I'd love to drill in a little bit to your start pace. I thought that disclosure was interesting. So, if I heard you correctly, you started just under 3,700 homes in the quarter, which is well above where you had been trending. And as I think through your cycle times, presumably a lot of those homes will be completed before year-end. Your closing guidance suggests an average quarterly closing pace of about 3,000 homes. Your orders have been trending well below that 3,700 level on a quarterly basis. So, I'm just trying to figure out, was this kind of like a one-time jump in starts and you expect to pull back a little bit here in the near term. Is there upside potential to your closing targets if the demand environment accelerates into year-end? And I guess more broadly speaking, why start that many homes if presumably a lot of these homes will deliver during a seasonally slower time of year?
Dale Francescon: Yeah. Great question. So, I think a handful of things going on in that start number as you look at it, kind of sequentially quarter-over-quarter. I think kind of on a macro perspective, we feel quite frankly, very confident and strong and bullish in our individual communities as we got into the quarter and wanted to make sure that we had the inventory on the ground for which to deliver into the back half of the year. The other dynamic that it's occurring a little bit is given the number of communities that we did open and the increase in the community count, generally speaking, we will put a little bit more inventory on the ground at the front end of a community. We find it helps with -- it helps with the consumer to be able to visualize what the community will look at. So, there's a little bit of front ending on the starts in terms of the community count. And then from a go forward perspective, Alan, it's a matter of what the demand environment continues to look like as we get into the back half of the year. But we are focused on growth right now. You can see that from our community count increase from our guide. That's up 10% to 14%. And so, I do think over time you'll continue to see starts increase along with the community count.
Alan Ratner: Got it. I appreciate the insights there. That makes sense. And second question, I apologize if I missed this or all the calls are blurring together here today, but I don't think I heard, I don't think I heard you guys talk about resale inventory in your markets. And I'm just curious, when you think about incentives and the increase you saw during the quarter, are you seeing any correlation between markets that are experiencing greater increases in resale inventory in terms of having to incentivize more? And in general, how are you feeling about the resale environment today?
Robert Francescon: Well, the inventory is up on resale, but up from very low numbers. And apples for apples, people would still rather have, generally speaking, a new home. So that's a competitive advantage. There's certain markets potentially that we do see a lifted inventory where it's a little more competitive and maybe incentives are a little bit higher. But as a general statement across the country, we're not seeing that as a complete headwind right now. And so, we're able to navigate through that. And again, when you look at a used home versus a new home, generally speaking, people want a new home.
Alan Ratner: All right. I appreciate it, guys. Thanks a lot.
Dale Francescon: Absolutely.
Operator: [Operator Instructions] Our next question comes from Michael Rehaut from JP Morgan. Please go ahead with your question.
Michael Rehaut: Hi, thanks. Good afternoon and thanks for taking my questions. It's Mike Rehaut.
Dale Francescon: Hi, Mike.
Scott Dixon: Hi, Mike.
Michael Rehaut: Hi. How you doing? So first, I just wanted to circle back in a couple of earlier comments. First, on the community count, I believe you said year-end you expect now to be at 275 to 285. I believe earlier you talked about mid to high single digit growth, which I think kind of places, or placed that number prior to this quarter at 260 to 275. I just wanted to make sure I was getting that right. And when we think about, I know you haven't really a little premature for 2025, but how should we think about community count growth in the next, over the next couple of years, just from a rough standpoint, if you're able to hit that, let's say 280 midpoint at the end of this year?
Scott Dixon: Yeah. Michael, this is Scott, I'll take that. I think for the most part you have that cadence in terms of our expectations, correct, from where we started out the year. I think we were quite pleased with our team's performance really across our entire platform in terms of being able to get community count open. We saw particular strength in Texas and Southeast as well as CMP in terms of getting those communities open either on time or earlier than maybe we had originally anticipated. So, I think we're bullish in terms of being able to hit that target from a community count guide in the back half of the year by the time we get there. I think it's a little too early to look into 2025 from a community count. One of the dynamics that occurs, especially on our Century Complete line of business, is our ability to buy finished lots from land developers. Allows us to add community count later in maybe the typical cycle than if we were having it under control and working through the entitlements throughout the process. So, a little too early for us to really get a feel for what that looks like and how it plays itself out into 2025. But again, when you step back and look at the increase in our total lot count to 78,000 owned and controlled, I think we feel like we're very good shape right now to continue to grow community count back half of this year as well as into 2025.
Michael Rehaut: Okay. Great. Fair enough. I appreciate that. I guess, secondly, just circling back on the resale question that Alan posed. If it's at all possible to perhaps get just a little more granular in some of your markets that have been of key focus for investors. And specifically, obviously I'm thinking about Texas, but if any of your markets in the Southeast, particularly Florida have, if you've seen any really like, challenges, I guess, obviously, I think most builders have kind of indicated that on a national level or on a consolidated level, the business is still not facing any type of significant issues from a resale inventory standpoint. But maybe couple markets here or there, it's been a little more challenging. Just would love to get your thoughts if there are any of those markets that you might want to highlight that have been a little more challenging and again, across Texas or if there are parts in the Southwest, for example. And how -- any of those markets kind of check those boxes and how the health of the markets have responded, so to speak.
Dale Francescon: Sure, Mike, this is Dale. And more broadly, when we look at competing against used homes, one of the advantages that we as and the other homeowners have is the ability provide below market interest rates. And as we indicated earlier, I mean, that's where the majority of our incentives are going. And that's something that is very difficult to do in the resale market. So that's an advantage that the homebuilders have. Looking at our markets specifically, we really haven't seen any pressure to speak of in Texas. We look at Texas, each one of our markets was up in terms of new sales on a year-over-year basis. Specifically, Houston has remained very strong for us. If you look at one of the -- other market that's had some notoriety and concerns with that is Florida, and we have seen some buildup in inventory in Southwest Florida. Fortunately for us, that's a very small part of our business. We only operate there on our Century Complete brand. When we look at Jacksonville, for example, where we have both Century Community and Century Complete operations, we really haven't seen that pressure there. So, I think part of it, while, as Rob indicated, we have seen an increase of used homes come on the market, it's still really very small in comparison to what it historically has been, and we're not seeing it as a particular challenge, particularly with the ability to provide rate assistance for our buyers.
Michael Rehaut: Okay. No, appreciate that. Thank you. I guess, just lastly, more of a technical question. You repurchased almost 500,000 shares during the quarter. Your average share count, though, is down only a little more than 100,000. Just was curious if we might see the fuller impact of that in the third quarter from a share count perspective and more broadly with the large repurchase authorization, if we should be expecting any change to the approach in share count. I think it was mentioned earlier that it sounded like the primary goal is just to keep the overall share count steady. So, in other words, just to offset any share creep from awards. And just wanted to make sure I heard that right. Or if not, if we might start expecting the share count to come down a little more consistently given the size of that repurchase authorization.
Robert Francescon: Yeah. Michael, let me try to hit some of those there. So, the timing of the share counts is really what is, I think, driving what you're looking at in terms of, excuse me, the share buybacks is what is driving the impact on the weighted average shares. So, I would expect to get additional benefit from those buybacks. From a share count perspective as we get farther into the year. There's also some small issuances that do occur for our Board of Directors that there does offset some of that during the quarter. So, from a larger perspective, I wouldn't read into the increase of the share buyback program to 4.5 million is anything other than what we've articulated previously in terms of our capital allocations. As Dale walked through a little bit earlier, the last share back authorization we had was put in place in 2018. And so, we continue to look at share buybacks in terms of really in the first quarter of the year, offsetting any dilution from restricted shares that have vested, and then opportunistically being in the market when we think that there's an opportunity from pressure on our share price. And really what you saw here during the second quarter was just that. It was our ability to get in the market and take some shares off the table that effectively book value.
Michael Rehaut: Great. Thanks so much.
Robert Francescon: Absolutely.
Operator: And ladies and gentlemen, with that, we'll conclude today's question-and-answer session. I'd like to turn the floor back over to Dale Francescon for any closing remarks.
End of Q&A:
Dale Francescon: Thank you, operator. To our team members, thank you for your hard work, dedication to Century, and commitment to our valued homebuyers. To our investors and everyone on the call today, we appreciate your continued support and look forward to speaking with you again next quarter and sharing our continued progress.
Operator: And ladies and gentlemen, with that we will conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.